Operator: Good day, everyone, and welcome to Microchip's Fourth Quarter Fiscal 2022 Financial Results. As a reminder, today's call is being recorded. At this time, I'd like to turn the call over to Microchip's Chief Financial Officer, Mr. Eric Bjornholt. Please go ahead, sir.
Eric Bjornholt : Thanks, Erin, and good afternoon, everyone. During the course of this conference call, we will be making projections and other forward-looking statements regarding future events or the future financial performance of the company. We wish to caution you that such statements are predictions and that actual events or results may differ materially. We refer you to our press releases of today, as well as our recent filings with the SEC that identify important risk factors that may impact Microchip's business and results of operations. In attendance with me today are Ganesh Moorthy, Microchip's President and CEO, Steve Sanghi, Microchip's Executive Chair; and Sajid Daudi, Microchip's Head of Investor Relations. I will comment on our fourth quarter and full fiscal year 2022 financial performance. Ganesh will then provide commentary on our results and discuss the current business environment, as well as our guidance, and Steve will provide an update on our cash return strategy. We will then be available to respond to specific investor and analyst questions. We are including information in our press release and this conference call, on various GAAP and non-GAAP measures. We have posted a full GAAP to non-GAAP reconciliation on our Investor Relations page of our website at www.microchip.com, and included reconciliation information in our press release, which we believe you will find useful when comparing our GAAP and non-GAAP results. We have also posted a summary of our outstanding debt and leverage metrics on our website. I will now go through some of the operating results, including net sales, gross margin and operating expenses. Other than net sales, I will be referring to these results on a non-GAAP basis, which is based on expenses part of the effects of our acquisition activities, share-based compensation, and certain other adjustments as described in our press release. Net sales in the March quarter were $1.844 billion, which was up 4.9% sequentially, and near the high end of our quarterly guidance. We have posted a summary of our GAAP net sales by product line and geography as well as our total end market demand on our website for your reference. Going forward, we will only be providing GAAP net sales by product line and geography, consistent with the standard practice by our peer companies. We will continue to provide information each quarter on changes in distribution inventory levels. On a non-GAAP basis, gross margins were a record 66.6%. Operating expenses were at 21.9%, and operating income was a record 44.7%. Non-GAAP net income was a record $764.6 million. Non-GAAP earnings per diluted share was a record $1.35, $0.10 above the midpoint of our guidance, $0.07 of which was driven by favorable events in the March quarter, benefiting our cash tax expense. On a GAAP basis, in the March quarter, gross margins were a record at 66.2%. Total operating expenses were $670.9 million, and included acquisition intangible amortization of $215.5 million, special charges of $9.1 million, $3.8 million of acquisition-related and other costs, and share-based compensation of $39 million. GAAP net income was $437.9 million or $0.77 per diluted share, and was adversely impacted by an $11.8 million loss on debt settlement associated with our convertible debt refinancing activities. Our March quarter GAAP tax expense was impacted by a variety of factors, notably the tax benefits recorded as a result of releasing the unrecognized tax benefit due to the closing of an audit in Europe. For fiscal year 2022, net sales were a record $6.82 billion and were up 25.4% from net sales in fiscal year 2021. On a non-GAAP basis, gross margins were a record 65.7%. Operating expenses were 22.2% of sales and operating income was a record 43.5% of sales. Non-GAAP net income was a record $2.611 billion and EPS was a record at $4.61 per diluted share. On a GAAP basis, gross margins were a record 65.2%. Operating expenses were 38.1% of sales, and operating income was 27.1% of sales. Net income was $1.286 billion, and EPS was $2.27 per diluted share. Our non-GAAP cash tax rate was 1.3% in the March quarter and 4.9% for fiscal year 2022. The non-GAAP cash tax rate in the March quarter was lower than originally forecasted, due to a variety of factors, including the receipt of a tax refund that had not been forecasted to be received until a later date, lower taxes in certain jurisdictions, and tax benefits from our convertible debt exchanges. We expect our non-GAAP cash tax rate for fiscal '23 to be between 7.5% and 11.5%, exclusive of the transition tax, any potential tax associated with restructuring the Microsemi operations into the Microchip global structure, and any tax audit settlements related to taxes accrued in prior fiscal years. The midpoint of our June quarter tax rate guidance is 9.5%. Our fiscal '23 cash tax rate is higher than our fiscal '22 tax cash rate for a variety of factors, including lower availability of tax attributes, such as net operating losses and tax credits, as well as the impact of current tax rules requiring the capitalization of R&D expenses for tax purposes. Our inventory balance at March 31, 2022, was $854.4 million. We had 125 days of inventory at the end of the March quarter, which was up 9 days from the prior quarter's level. Our levels of raw materials and work in progress increased in the quarter, which helps position us for the increased production we are expecting from our internal factories and helps buffer us against unexpected shortages or changes in material lead times. The carrying cost of our inventory has been and will be increasing due to the rising input costs from our supply chain. We are continuing to ramp capacity in our internal and external factories, so we can ship as much product as possible to support customer requirements. Inventory at our distributors in the March quarter were at 17 days, which is a record low level and down from 19 days at the end of the prior quarter. Following on the heels of our upgrade to investment grade or BBB minus in the December 2021 quarter, during the March 2022 quarter, we were upgraded to the equivalent of BBB by both Moody's and Fitch, reflecting the strength of our balance sheet, financial results and our franchise. In the March quarter, we exchanged a total of $64.9 million of principal value of our 2027 convertible subordinated notes for cash and shares of our common stock. We used cash generation during the quarter to fund the principal amount of the convertible debt exchanges, and we believe that these transactions will benefit stockholders by significantly reducing share count dilution to the extent our stock price appreciates over time.  The principal amount of convertible debt on our balance sheet at March 31 was $838.1 million. This includes $665.5 million of convertible bonds maturing in November of 2024 with the cap call option in place that offsets any potential dilution from these convertibles up to stock prices of $116.79. At the beginning of calendar year 2020, Microchip had $4.481 billion in convertible bonds outstanding. So today, our overall capital structure is in a much better long-term position. Our cash flow from operating activities was $747.7 million in the March quarter. Our free cash flow was $633.1 million and 34.3% of net sales. As of March 31, our consolidated cash and total investment position was $319.4 million. We paid down $205.9 million of total debt in the March quarter. Over the last 15 full quarters, since we closed the Microsemi acquisition and incurred over $8 billion in debt to do so, we have paid down almost $5 billion of debt and continue to allocate substantially all of our excess cash, beyond dividends and stock buyback, to bring down this debt. We have accomplished this despite the adverse macro and market conditions during the earlier years of this period, which we feel is a testimony to the cash generation capabilities of our business, as well as our ongoing operating discipline. We continue to expect our debt levels to reduce significantly over the next several years. Our adjusted EBITDA in the March quarter was a record at $902.6 million and 48.9% of net sales. Our trailing 12-month adjusted EBITDA was also a record at $3.246 billion and 47.6% of net sales. Our net debt-to-adjusted EBITDA was 2.32 at March 31, 2022, down from 2.58 at December 31, 2021, and down from 3.76 at March 31, 2021. Our dividend payment in the March quarter was $140.8 million, and we repurchased 259.6 million of our stock during the quarter. Capital expenditures were $114.6 million in the March quarter and $370.1 million for fiscal year 2022. We had originally forecasted capital expenditures of about $140 million in the March quarter, and we experienced delays in receiving some of our capital equipment from our suppliers. Our expectation for capital expenditures for fiscal year 2023 is between $450 million and $550 million, as we continue to take actions to support the growth of our business and ramp our manufacturing operations. We continue to prudently add capital equipment to maintain, grow and operate our internal manufacturing operations to support the expected long-term growth of our business. We expect these capital investments will bring gross margin improvement to our business, and give us increased control over our production during periods of industry-wide constraints. Depreciation expense in the March quarter was $59.3 million. I will now turn it over to Ganesh to give us comments on the performance of the business in the March quarter as well as our guidance for the June quarter. Ganesh?
Ganesh Moorthy: Thank you, Eric, and good afternoon, everyone. Our March quarter results were very strong across the board, and set several records in the process. Revenue grew 4.9% sequentially and 25.7% on a year-over-year basis to achieve an all-time record of $1.84 billion. Despite a number of operational challenges, including the rapid spread of the COVID Omicron virus, which affected several of our factories, the shutdowns in several cities in China, and the suspension of shipments to Russia, we finished just shy of the high end of our revenue guidance. This was our fifth consecutive quarter of new revenue records. Non-GAAP gross margin was another record of 66.6%, up 50 basis points from the December quarter, and at the high end of our guidance, as we continue to ramp our internal factories and benefit from improved operational efficiencies as well as product mix changes. Non-GAAP operating margin was also a record of 44.7%, very close to the high end of our guidance. At 21.9% operating expenses, we are 60 basis points below the low end of our long-term model of 22.5% to 23.5%. Our long-term operating expense model will continue to guide our actions to invest for the long-term growth and profitability of our business. Our consolidated non-GAAP diluted EPS was a record $1.35 per share, well over the high end of our guidance and up 45.2% from the year ago quarter. Even after excluding the tax benefit we received, our March quarter non-GAAP diluted EPS at $1.28, was at the high end of our guidance. Adjusted EBITDA at 28.9% of revenue and free cash flow at 34.3% of revenue, were both very strong in the March quarter, continuing to demonstrate the robust cash generation capabilities of our business. Net debt declined by $209.8 million, driving our net leverage ratio down to 2.32 in the March quarter, as we continue to relentlessly drive down our net leverage. During the March quarter, we returned $400.4 million to shareholders, representing 52.5% of the prior quarter's free cash flow. Reflecting on our fiscal year '22 results, it was one for the record books, and one of our best years ever. We made dramatic progress on all fronts, revenue growth, gross and operating margins, earnings per share, free cash flow generation, debt and leverage reduction, and last but not least, we significantly increased the capital return to shareholders through dividend increases and the initiation of a programmatic share buyback program. At our Investor Day in November 2021, we outlined our plan to increase the capital return to shareholders every quarter, as our net leverage continues to drop. We are making consistent and meaningful progress towards our net leverage growth every quarter. I would like to take this opportunity to profusely thank all our stakeholders, who enabled us to achieve these outstanding results and especially thank the worldwide Microchip team for their never-give-up attitude and concerted effort to consistently deliver results to support our customers, in the face of a historic and persistent imbalance between supply and demand. Taking a look at our revenue from a product line perspective, our microcontroller revenue was sequentially up a strong 7.6% as compared to the December quarter, and was another all-time record. On an annualized basis, our March quarter microcontroller revenue broke through the $4 billion mark for the first time. On a year-over-year basis, our March quarter microcontroller revenue was up 28.3%. All microcontroller product lines, 8-bit, 16-bit and 32-bit, experienced strong growth and achieved record revenue milestones. 32-bit microcontrollers had the highest growth and is now the largest microcontroller product line for us at 46.5% of our microcontroller revenue. Microcontrollers represented 56.7% of our revenue in the March quarter. Our analog revenue sequentially increased 3% in the March quarter, setting another record in the process. On a year-over-year basis, our March quarter analog revenue was up a strong 24.2%. Analog represented 27.9% of our revenue in the March quarter. Taking a look at our revenue from a geographic and end market perspective, Americas was up 21.4% over the prior year quarter. Europe was up 25% over the prior year quarter. Asia was up 27.9% over the prior year quarter. All end markets remained strong and were supply constrained. Business conditions continue to be exceptionally strong through the quarter. Our preferred supply program, our PSP backlog, continued to grow and remained well over 50% of our aggregate backlog and 100% of our backlog in the most constrained capacity product areas. Demand continued to be insatiable, despite the significant capacity increases, we have implemented so far. As a result, our unsupported backlog, which represents customer backlog -- backlog that customers want to ship to them in the March quarter, but which we could not deliver in the March quarter, climbed substantially again as we exited the March quarter with our highest unsupported backlog ever. We continue to experience constraints in all our internal and external factories and their related manufacturing supply chains. We are ramping our internal factories as fast as reasonably possible. And we are working closely with our supply chain partners to secure additional capacity wherever possible. Our supply chain partners as well as some of our customers were adversely impacted by the lockdowns in China during March, which continued into April and May. Our operations team worked to redirect our manufacturing activities and sourcing wherever possible to other locations that are not locked down. Looking at the magnitude of the demand supply inbound, the size of our non-cancelable backlog, the rate at which new backlog continues to come in, and the rate at which we're able to bring on new capacity, we expect that we will remain supply constrained throughout 2022 and into 2023. Our growth is predominantly limited by how quickly we can bring on additional capacity to support demand. To reiterate what we first shared with you in March this year, we expect our 5-year compounded annual growth rate, using fiscal year 2021 as a baseline, to be 10% to 15%. We expect our capital spending in fiscal year '23 to be at the high end of the range we have shared with you, as we respond to growth opportunities in our business as well as fill gaps in the level of capacity investments being made by our outsourced manufacturing partners in specialized technologies, they consider to be trailing edge, but which we believe will be workhorse technologies for us for many years to come. We believe our calibrated increase in capital spending will enable us to capitalize on growth opportunities, serve our customers better, increase our market share, improve our gross margins, and give us more control over our destiny, especially for specialized trailing-edge technologies. We will, of course, continue to utilize the capacity available from our outsourced partners, but our goal is to be less constrained by their investment priorities in areas where they don't align with our business needs. Now let's get into the guidance for the June quarter. Our backlog for the June quarter is very strong, and we have more capacity improvements coming into effect. Taking all the factors we have discussed on the call today into consideration, we expect our net sales for the June quarter to be up between 4% and 8% sequentially. Our guidance range assumes capacity additions, as well as continued materials and capacity challenges, some of which will work -- expect to work through during the quarter, others that will carry over to be worked in future quarters. We have also included the anticipated effects of the lockdowns in China on our supply chain partners as well as our customers. At the midpoint of our revenue guidance, our year-over-year growth for the June quarter would be a strong 24.6%. For the June quarter, we expect our non-GAAP gross margin to be between 66.8% and 67.2% of sales. We expect our non-GAAP operating expenses to be between 21.6% and 22% of sales. We expect our non-GAAP operating profit to be between 44.8% and 45.6% of sales. We expect our non-GAAP diluted earnings per share to be between $1.32 per share and $1.36 per share, after comprehending the higher tax rate that Eric shared with you. Finally, as you can see from our March quarter results and the June quarter guidance, every element of our Microchip 3.0 strategy is firing on all cylinders, as we continue to build and improve what we believe is one of the most diversified, defensible, high growth, high margin, high cash generating businesses in the semiconductor industry. To summarize the essential elements of Microchip 3.0, they are, organic growth rate of 10% to 15% in the fiscal year '22 to ‘26-time frame, by focusing on total system solutions and our key market megatrends. Long-term non-GAAP operating margin target of 44% to 46%, and free cash flow target of 38%, consistently increasing capital return to shareholders as net leverage drops such that 100% of free cash flow is returned to shareholders by the time net leverage drops to 1.5x, a CapEx investment of 3% to 6% of revenue, and an inventory investment of 130 to 150 days over the business cycles. And last but not least, a strong company foundation built on culture and sustainability. Let me now pass the baton to Steve to talk more about our cash return to shareholders. Steve?
Steve Sanghi: Thank you, Ganesh, and good afternoon, everyone. I would like to reflect on our financial results announced today and provide you further updates on our cash return strategy. Reflecting on our financial results, I continue to be very proud of all employees of Microchip that have delivered another exceptional quarter and fiscal year, while making new records in many respects, namely record net sales, record non-GAAP gross margin percentage, record non-GAAP operating margin percentage, record non-GAAP EPS, and record adjusted EBITDA, and all of that in a very challenging supply environment. The Board of Directors announced an increase in the dividend of 9.1% from last quarter to $0.276 per share. This is an increase of 33.7% from a year ago quarter. During the last quarter, we purchased $259.6 million of our stock in the open market. We also paid out $140.8 million in dividends. Thus, the total cash return was $400.4 million. This amount was 52% of our actual free cash flow of $762.7 million during the December 2021 quarter. Our pay down of debt as well as record adjusted EBITDA, drove down our net leverage at the end of March 2022 quarter to 2.32 from 2.58 at the end of December. In the current June quarter, we will use last quarter's actual free cash flow of $633.1 million and expect to return $348.2 million, which is 55% of that amount to our shareholders. Out of this $348.2 million, the dividend is expected to be approximately $153.2 million and the stock buyback is expected to be approximately $195 million. With that, operator, will you please poll for questions?
Operator:  And we will take our first question from Joe Moore with Morgan Stanley.
Joe Moore: Great. Thank you for taking my questions. Wonder if you could just talk to your visibility into the supply remaining kite in the context of markets that you guys don't serve if you're seeing smartphones feel a little bit weaker, you should be seeing foundry capacity free up in other places. Do you see that showing light at the end of the tunnel in a supply situation or no?
Ganesh Moorthy: So, because we're not in the end markets you described like smartphones, we don't have direct visibility into what they're facing. We do read the same industry reports as to what might be happening. There is sometimes a delay between when something is perceived to be in the market to when it actually filters into the supply chains. And at this point in time, we do not see any major relief in the capacity as a result of some other end market that is weak. That may happen in time, but not at this point.
Joe Moore: Thank you very much. 
Operator: Our next question will come from Gary Mobley with Wells Fargo Securities.
Gary Mobley: Let me extend my congratulations to a strong finish to the fiscal year. You mentioned that your first quarter guide contemplates a lot of the different issues that we're all dealing with, including supply chain issues and customers' inability to manufacture. I was hoping maybe you can break that down quantify the total impact that you have embedded in your first quarter guidance and what the split may be between customer-specific issues your own supply chain issues?
Ganesh Moorthy: It's a good question, but it's a very difficult question to quantify the way that you're looking for. There are upsides and downsides, and the different risks that we're dealing with. What we have applied is a way to look at all of that and come up with an aggregate risk that we have built into the guidance. And so I don't have a specific breakdown that would be helpful to you on China customer or China supply or Russia, et cetera. It's all built in to what we have. And we know that they're going to come at us with a slightly different twist than what we're thinking about, and all that is built into the guidance we've provided.
Gary Mobley: Okay. Eric, if I can ask a follow-up question. You mentioned that distribution inventory is at an all-time record low down 2 days sequentially. But I think you've now had maybe 3 quarters in a row of sell into the distribution channel greater than sell out, albeit a fairly minor difference. What's the reason for the divergence there?
Eric Bjornholt: Well, I just view the difference is really small. If you look at our fiscal year, I think there's an $11 million difference between GAAP revenue and what sell-through was through distribution channels. So I think it's minor. Distributors are challenged, just like customers are today in terms of getting the product that they need to support their customers. We're generally seeing that what we're shipping into them is shipping out almost immediately to support their customers. And they also have a lower percentage of their backlog typically that is on the PSP program. And that has impacted their availability to get supply as some of the direct customers that got into PSP earlier or have a stronger presence in PSP, have that priority of supply.
Ganesh Moorthy: Gary, what I would also add is that, as business grows, distribution almost, by definition, needs more products shipped into them in order for them to be able to prepare for that growth. The days of inventory is a more normalizing indicator that tells you how is -- what they're getting as a function of what is it that they're shipping through. So there is no concern with the fact that we are shipping in slightly more. And as Eric mentioned, it's pretty small in the grand scheme of things. Despite that and despite the growth, the days of inventory are declining quite significantly, going from 19 to 17. And I think that is a more meaningful indicator as what's going on in distribution.
Gary Mobley: Thanks guys.
Operator: And our next question will come from Vivek Arya with Bank of America.
Vivek Arya : Thanks for taking my questions. There's a lot of concern about the possible downturn whether it's late this year or next year. So Ganesh, I wanted to get your thoughts on reality versus perception. And let's say, in a scenario of Microchip sales were to decline 5% or 10% next year hypothetically, what happens to gross margins? Because if I go back in history, the last time there was a meaningful sales decline was in 2009 and gross margins declined about 6 points or so. Is that the kind of decline that could potentially happen? So just give us your thoughts on a potential for a downturn, if you're seeing anything. And then if there were to be one, what happens to gross margins?
Ganesh Moorthy: It's a hard question to take in the hypothetical, but let's look at where some of the cushions are if and when that change happens, right? So I think we were just talking about distribution inventory at 17 days, right? I mean distribution is running on fumes. And to run healthy, they need to be in that high 20s kind of days of inventory, sometimes slightly higher than that. So I think that is the first part of what we would need to do with is utilize the opportunity if it is this down cycle at some point to replenish distribution to run healthy for a normal business. Second is when you look at our inventory, right, we really -- our inventory is up in a few days. But really, when you look at the inventory at the points that are in die bank, in finished goods, those are all still running on fumes for us given the mix of our products. We have a significant amount of internal inventory replenishment, et cetera, to be done. And finally, I think we have conveyed that while products are such long-lasting products, that we intend to build inventory in a down cycle, because that is the most effective capacity we can have rather than trying to get CapEx to go up when the next up cycle comes about. We had constraints in doing that in the last cycle, when we were more cash constrained given the debt that we have. We don't have those same constraints. And so our products last 10, 15, 20 years, and we fully expect that we will utilize our capacity and be more capital efficient through the cycle, whenever that cycle happens.
Steve Sanghi: I'd like to add to that, Vivek, your question began with, if Microchip goes down 5% to 7%, and then you compared it to 2009, when over a 6-month period, industry and Microchip's revenue was down 35%, in the middle of a global financial crisis. So I don't think anybody is looking for that kind of downturn last -- next year, where the revenue goes down that much percentage. So I think 6% gross margin drop in 2009 environment is scary. And I don't think we are expecting that kind next year, even if the sales were to drop 5% for the elements that Ganesh pointed out, it will take us a period of a year at least to really rebuild our own inventory, restock distribution and get everything healthy. So I don't really think there is that much concern about gross margin dropping that much.
Operator: And Tore Svanberg with Stifel has our next question.
Tore Svanberg: And congrats on all the record numbers. A question on CapEx. You didn't quite get to the number you wanted this quarter. You cited some delays in equipment sales. I was just wondering if the situation there is improving or not, just quarter-over-quarter, because clearly, the last quarter, things were still pretty constrained to get equipment, but are you seeing any improvement there at all?
Ganesh Moorthy: No, I think it's still a challenge to get equipment. And over the last 4, 5 quarters, it's become more challenging to get equipment in on time. So delays are there. It's a bit of a vicious cycle. Many of the delays are caused by shortages in semiconductor components. Those in turn, delay the equipment, which delays the ability to solve that problem. We have, in fact, taken the initiative to prioritize supply for many of the semiconductor equipment manufacturers, so that we do our part to both help the industry and help ourselves in doing that, and I believe others are doing it as well. But at the moment, the equipment lead times are getting worse, not better.
Operator: And our next question comes from Chris Caso with Raymond James.
Chris Caso: Your question about some of the capacity additions and specifically, the timing of when we could expect more substantial capacity to come online. I think what you've said previously is that your capacity would come on in a fairly linear even fashion, as you brought on more supply. With some of the CapEx jump that you'd have into fiscal '23, when does that start to have an impact? And then there is a bit of an inflection point in your ability to supply and therefore, revenue once that CapEx turns into actual capacity?
Ganesh Moorthy: So Chris, there's no single point at which there is a step function change in our capacity. We are getting capacity increases every quarter. As equipment comes in, it gets qualified, installed and begins to run production. Some of that is in our front-end fabs. Some of that is not back-end factories as the case might be. In certain cases, we are expanding clean room and that clean room space comes on at a certain point in time, which allows us to put in place more equipment. But it's more of a continuum of capacity increases that is taking place. And every quarter, we are increasing capacity. In some cases, it requires equipment. In other cases, it's really just hiring the people to run the equipment that we have. And all of that is kind of a more continuous process every quarter rather than a step function in any given quarter.
Chris Caso: Got it. As a follow-up, I wonder if you could give some color on some of your end markets. And are there any areas where you've seen demand substantially increase or decrease? I mean, elsewhere from other earnings reports, where we've seen some changes are largely areas you don't participate very much in, handset and PC. But interesting, if you've seen anything of note within your end markets that you wish to talk about?
Ganesh Moorthy: As I mentioned, all end markets are strong. Maybe the one of note would be, we are seeing more strength in the defense, aerospace end of the market. Commercial aviation is coming back. And so some of the folks that were not building are starting to build more. There are going to be some defense-related items given some of what's going on geopolitically that will come through. But that's a small part of our overall business. So it's still got significant strength in the other 5 end markets that we're in.
Operator: Our next question comes from Chris Danely with Citi.
Chris Danely: A bit of a longer-term question. So in the past -- I guess, in the recent past, you've asked you about additional acquisitions. You said that, that avenue has pretty much been closed, because there's, to paraphrase you, not much out there and things are expensive. I'm just wondering if your thought process has changed at all, given that the stocks have sold off that. Do you think that this upturn will be more sustainable than in the past and there's extra capacity seems like it's sort of at a premium out there? Has anything changed as far as the thought process goes?
Ganesh Moorthy: Not really. I think what we had said is we met the major objectives we had when we went on our multiyear acquisition path. The two big ones at that time to be able to build scale and the other one was to build out the portfolio to be broader than what it was 10 years ago. Having reached both those objectives, we think there is more to be had in focusing and harnessing organically what we have and getting the best of what we have. So we were doing more acquisitions when the available growth was also limited, and we wanted to augment our organic growth with the acquisitions. We believe we're at a point in time, where there is a substantially higher organic growth opportunity available. And the most cost-effective growth, we think, is organic, and that is where we're focused with the many specific strategies that we have put in place for that as large acquisitions. And of course, we still do small pinpoint acquisitions that are tuck-ins intended for technology, market or customers from time to time.
Chris Danely: Thanks guys. 
Ganesh Moorthy: Welcome. 
Steve Sanghi: In today's environment, you couldn't get the benefit of cross-selling on a new acquisition, because there's no capacity. You would simply be inheriting the capacity challenges of an acquiree. And if there are any cross-selling opportunities to grow revenue, you won't have capacity for it, because we're constrained even just shipping our organic growth.
Operator:  We'll now hear from William Stein with Truist Securities.
William Stein: Thanks so much for taking my questions. Congrats on the results and outlook. I'm hoping you might dissect the growth either year-over-year or sequentially by units versus pricing? And if you could also comment on the effect that that's having on gross margins, because, of course, I'm pretty sure you guys use FIFO inventory, so you have lower-cost products flowing through the P&L on higher-priced products to customers? Any clarity on those would really help? Thank you.
Ganesh Moorthy: So directionally, when I look at it year-over-year, is that a component of the growth that comes from price, yes. The majority of the growth is coming from units, and price, as we have talked about before, is predominantly for us to be able to address cost increases that we have incurred, which we batch and pass on from time to time to our customers. The gross margin benefits of the price increase are really not something we target to go get. I'll let Eric speak to maybe the timing of the FIFO inventory and all that, but largely, we're not trying to boost up gross margins through the price changes that we're making.
Eric Bjornholt: Yes. So from a timing perspective, as Ganesh said, we try to batch these pricing increases, as things are starting to flow through the P&L. And it's not a perfect process, but that's what we try to do. Again, we're not trying to gouge customers. We're trying to pass along the cost and earn what I would call a standard margin on that, but not be a gross margin percentage enhancer. So with 100,000 SKUs in the portfolio, again, it's not a perfect process, but I think we've done a good job of doing that and being fair with our customers.
Operator: And our next question will come from Harsh Kumar with Piper Sandler.
Harsh Kumar: First of all, congratulations, great results, great guide. Steve, the question that a lot of us have been trying to ask in a variety of different ways. I think it's this, that when you look at the revenue growth of not just Microchip, but the industry associated with the auto business overall, the chip business overall, when you look at the growth rate, and you try and compare that with the growth rate in autos and your account for the content gains, which I know are very strong, we still end up with a lot of gap. And that's probably the area that I get the most amount of questions on the buy side. I was curious if you might have some thoughts on what is happening? Why is the semiconductor industry benefiting to such a great degree and that gap is so wide?
Ganesh Moorthy: So let me take that. I think if you look at the automotive industry, in some ways, I look at their results over the last 4 or 5 quarters, and I think a semiconductor shortage is probably the best that happened to them. Every one of them has record results, record profitability, whether that is at the OEM level or the Tier 1 level. And why? What they have done is really utilized the available semiconductor supply they have to build the richest product line that they can build. And if you try to go to a dealer today and try to buy a de-featured car, it's not available. You can get it in a year's time or whenever they tell you it is. And so the semiconductor content per car on average has grown up, because the mix has become much richer. Things that perhaps were optional or not available before, are becoming more standard, because in a smaller number of cars they want to sell, they are utilizing as many semiconductors has become available for that smaller number of cars to have the richest product line. And secondly, from an automotive standpoint, there are no discounts available. So all of the discounting that took place is a gross margin tailwind for the automotive guys. So the chips we're selling -- and by the way, our shortages that we deal with, with the automotive customers hasn't really abated in the last year. We still have significant escalations and issues that we're working with, with not just automotive but just about every industry, but automotive specific since you asked that. So, there is no indication that all is quiet on the automotive front with respect to the getting product that they need. They are still fighting through shortages in order to be able to build exactly the cars and the mix of product that they want to make.
Harsh Kumar: Very helpful guys. Thank you so much.
Operator: Our next question will come from Christopher Rolland with Susquehanna.
Christopher Rolland: Also congrats. Microcontrollers, you guys had some interesting revelations there, I guess, on 32-bit becoming the majority there. I would love to know kind of how you see longer-term growth rates between maybe 8-bit and 32-bit and as 32-bit accelerates, is that a tailwind for you guys for gross margin?
Ganesh Moorthy: So first, maybe to parse out, right? All three, 8-bit, 16-bit and 32-bit are still setting new records. So all are growing. Clearly, there is a higher growth rate on the 32-bit, which is why it grew the most, and it's now approaching almost half of the microcontroller revenue. Now we continue to expect that the usage of microcontrollers and the embedding of intelligence in lots and lots of end applications is a critical secular trend that has a tailwind for our business overall. We've kind of represented and shown that in the 6 megatrends, and how what we do fits in those kind of end market or end applications and drives growth for us. Now to your second question on gross margin, the gross margin of the microcontroller business is not dramatically different between 8s, 16s and 32s. And so we go to market with an approach that allows any one of our products to be utilized, depending on what is most appropriate in the customer situation, and the pricing is to the value that we bring into that application. And so the general gross margin, we don't believe is affected by the mix of 8s, 16s and 32-bit.
Christopher Rolland: Great. Thank you, Ganesh. And then 1 for either you or Steve. A lot of people have talked about potential over capacity for the industry in '23 and '24. Would love to get kind of your views on whether you think that's a thing or not? And what its effect on industry pricing might be?
Ganesh Moorthy: So I'll give you my view and then maybe Steve will add to it as well. So it's a bit of a misnomer when you talk about overcapacity in '23 or '24, when you look at where is the CapEx being spent by the industry, industry spent over $100 million of CapEx last year. The vast majority of that CapEx, over 90% of it, is being spent on the bleeding edge nodes. These are the nodes that are 16-nanometer and smaller, so 16, 10, 7, 5, 3, et cetera, is where all that is being spent.  Where the capacity is not being invested in at the rates that are required, and where, for example, all of the constraints that the industry is fighting through short, medium and long term, are on these trailing edge, specialty technologies. On 300-millimeter, that is typically anything which is 40-nanometer and larger in size, very little capacity investment coming online to be able to help that. On 200-millimeter, 8-inch wafers, there's almost nothing that is being done, outside of what some of the IDMs have been doing and which really is still a far cry from what is needed. So while there is CapEx spending taking place of quite significant amount, it is being spent disproportionately on the bleeding edge technologies, and there are still significant constraints left on the trailing edge, specialty technologies that we don't see easing up into '23 and '24. Steve, do you want to add some more to it?
Steve Sanghi: Yes. Yes, I would. So what has happened historically is that the foundries built a leading-edge fab, depreciated it fully over 4 years, providing leading-edge chips to the likes of Qualcomm and AMD and others. And when the leading-edge guys moved to the next node, then they took that capacity, a depreciated fab and repurposed it for microcontroller, mixed-signal, connectivity and those kind of products. And that's how over many, many years, trailing as a capacity became available. Now what has happened now is that link is broken. The leading-edge lithography has gone to 14-nanometer, 10-nanometer, even 7, 5 and 3-nanometer, while the microcontrollers and analog, because of functionality needed, are still in the range of 65-nanometer to 180-nanometer. And so therefore, the trailing edge capacity no longer easily becomes available, because somebody moved to the next node. Secondly, starting at 19-nanometer, the wafers became 12-inch, less than 19 nanometer, the wafer's at 8-inch. And 8-inches largely aluminum back end and 12 inches largely copper back end, and one is not compatible with the other. So a 12-inch fab becoming available, doesn't easily give the capacity for an 8-inch product to move to 12-inch. So combination of those factors and the fact that the foundries are adding almost no capacity on the trailing edge, it is quite possible that the trailing edge capacity is forever constrained. And that's why we are making aggressive attempts to add capacity internally to provide that growth to our business and to our customers, and you're seeing some of our competitors do the same thing.
Operator: We will now take a question from Harlan Sur with JPMorgan.
Harlan Sur: Good afternoon. Congratulations on the strong margins and overall execution. Currently, you're not quite where you want to be on OpEx as a percent of sales, but your business is growing strongly. So it's hard to bring on personnel at a faster pace than your business is growing. But won't you guys have the same challenge longer term, given your new long-term revenue CAGR of 10% to 15%. Given your revenue scale, can the team really grow its OpEx by double-digit percentage points going forward to maintain your OpEx target?  I guess my point is, with the accelerated rate revenue growth targets and $8 billion of revenue scale, it would seem that you'll be driving stronger leverage on the operating margin than what your model implies, because you kept your operating margin targets unchanged when you increased your 4-year revenue CAGR. Am I missing something?
Steve Sanghi: I'll give you a…
Ganesh Moorthy: I will want to add to it as well. I think investments in the operating expense are not just in people alone. That is clearly one of the large investments we've got to make. But beyond that, there's an intellectual property. There's work we have to do this research and development work that takes place, which has wafers and other things we have to do. So we do believe that strong gross margin and strong growth businesses don't fall out of the sky. They need to be thought through, invested in and executed. And we need to make sure that while today's gross margins are strong and where they're at, that we continue to build for the future in a competitive world, that ensures that continued new products and technologies, and the associated marketing and other activities we need to do, will be able to keep those gross margins high and keep the growth rates high in where we're at. And today's environment is a bit challenging also, because of the availability of people is I think that won't be there forever. So we do expect that in time, we will solve some of those shortages of being able to hire people, et cetera, and do need to get back into the range that we have provided. And that's what creates a sustainable high gross margin business. Do you want to add to it?
Eric Bjornholt: I think the only other thing I would add is just a point of clarification on the statement that you made in your question, Harlan, is that we are targeting this 10% to 15% CAGR on revenue based on fiscal '21 as a baseline, right? We just completed fiscal '22, which is a very strong growth year. We're expecting another strong growth year, but I don't want you or investors to necessarily just put in your model 10% to 15% on a perpetual basis going forward. We'll have to see how that plays out over time, but that's a 5-year CAGR based off of fiscal '21 as the baseline.
Operator: Our next question comes from Pradeep Ramani with UBS.
Pradeep Ramani: Can you speak to maybe the trends with respect to how your backlog and largely unsupported backlog, how it sort of grew in June versus March. And maybe even address it from the perspective of PSP. Is your PSP duration stretching quarter-over-quarter? Or is it about the same? Can you help us with that?
Ganesh Moorthy: So the PSP program requires 12 months of continuous non-cancelable backlog. Many customers choose to go longer than that. And we don't really track what is the -- what percentage of that is above or below where it is. We make sure that everybody is in compliance with the program. But we do have a meaningful amount of that backlog that is more than 12 months. And we do have overall PSP backlog continuing to grow. So that's one part of the question. And the other part of it is, exiting the March quarter, our unsupported backlog grew again quite significantly. And that is the sixth or seventh or some consecutive quarter of continuing expansion of unsupported, just giving you the sense of how -- no matter how much incremental capacity we have brought on, we continue to be falling behind versus the intensity of demand. So it's just -- it's not supplies and coming online. It's just demand is outgrowing supply multiple quarters and expanding that gap between supply and demand.
Eric Bjornholt: I think I would just add two points. Ganesh said one of these already, but in the quarter, total backlog grew, unsupported backlog grew and PSP backlog grew. So all of them were up quarter-on-quarter.
Operator: And we'll now take a question from Ambrish Srivastava with BMO.
Ambrish Srivastava: I had a question on lead times. Have lead times stabilized? You folks have been adding capacity, which should translate into some alleviation. So just a question on lead times. And then, Ganesh, you talked about the price increase. And as it relates to the PSP, what has been the reaction to the price increase programs that you have in place?
Ganesh Moorthy: So lead times are long. I wouldn't say that they're stabilized. Some of the constraints are still quite acute. And to the extent that demand continues to grow faster than supply, the only way to solve is on lead times. So lead times have been stretching out more so on some products, perhaps than other products, and where they're at. On the pricing increase and PSP, so any time we increase prices, our customers have a small window in which they have the opportunity to refuse the price increase, and cancel the backlog if they so wish. And we have the opportunity to adjust the price, if we so wish, which we have not done. What customers have in the course of the price increase that we have done, the amount of backlog that they have chosen to cancel is so small, it's almost immeasurable in the grand scheme of what we have. And so there has been no final impact of the price increase in our PSP backlog.
Ambrish Srivastava: Just sorry, just a clarification. What I meant to ask on lead times was that our lead times continuing to go up or the rate of the increase has slowed down considerably because -- and I forget, what is the capacity that you've brought online on a year-over-year basis?
Ganesh Moorthy: There's no easy answer to give you on what -- so capacity is a function of our internal capacity, our external capacity, specific packages, some materials which have constraints in the industry like substrates, et cetera. So in any given product package combination, the constraints can be quite large and can be well over a year in lead time. In others as we are alleviating them we may get to where it's not pushing out as much or at least stabilizing there. So -- but in the aggregate, I would say that lead times have not stabilized and that constraints continue to grow. And as our imbalance between supply and demand grows every quarter, it solves on time.
Operator: Our next question will come from Chris Danely with Citi.
Chris Danely: Let me ask a follow-up, just a quick one. I guess for Ganesh or maybe the stage of semiconductor, Steve saying you will take a shot at it. Did you guys quantify the impact from the China COVID shutdowns on your business? And then also, any insights as to how come you are managing to have it affect you a little bit less than some of your peers?
Ganesh Moorthy: So we did not break out what the China COVID impact is. Clearly, there are impacts from both supply, where we have manufacturing partners and supply chains that are affected, and there are customers, who are in the regions that are shut down and unable to conduct business in what they're doing. We have comprehended the impact from both the supply and the demand side into the guidance that we have provided. And beyond that, we're not trying to break it down any further than that. As far as what other people have done and how do we think, I honestly don't know, because it's all a function of what percent of their manufacturing or customer base is in the affected area, and that is not very knowable for us. So I presume each company has the insight into their business to provide the guidance that they think is right.
Steve Sanghi: So let me add to that. I think the amount of China exposure, both on the supply chain as well as customers is different for different companies. When it comes to supply chain, we have moved a fair amount of supply chain out of China when there were tariffs put on China back in 2019. A lot of them we left outside of China. So we had substantially lowered our exposure for the supply chain. That could be one. In terms of the impact we're having on Chinese customers in Shanghai, yes, we have finite impact on that, but we were able to take that supply and ship it elsewhere, because of the larger delinquencies. So we were largely able to mitigate the impact of customers not wanting to accept the product, because they were closed.
Operator: Our next question will come from David O'Connor with BNP Paribas.
David O'Connor: Good afternoon, guys. Thanks for taking my question. Maybe, Ganesh, a question on silicon carbide. You had some new product announcements on silicon carbide in the quarter, pretty much around charging stations and on the industrial side. Can you just talk about Microchip's strategy and positioning there within silicon carbide? Is that just really focused on high voltage and a very particular application? And related to that as well, the -- as silicon carbon ramps up, is that a headwind to gross margin? That's my first question. And then maybe just a follow-up on the CapEx for next year. You mentioned at the high end of the range. Could you give us any sense of what portion of that is maintenance versus capacity expansion?
Ganesh Moorthy: Sure. So our silicon carbide technology, came to us from the Microsemi acquisition, has a heritage started in aerospace and defense and therefore, has a substantial DNA that is built around robustness and reliability for where it's at. We have since continued to build that technology out and expand its focus into industrial and automotive, with a higher interest in industrial, because it's faster time to market, but also because it has a far more gross margin characteristics that align with where Microchip's interest are at.  And so that's what we have done is continue to bring out new products that have higher voltage capabilities. High voltage is an indication of robustness and its ability to operate in these harsh environments. Bring out more product categories, I think we, at this point, probably have one of the larger catalog of silicon carbide products in the market. And we are prosecuting these in a broad range of applications with obviously a high degree of industrial customers, some in automotive. And in Industrial, the one example you just cited, which is EV chargers is a key reference design for us for our total system solutions, not just for silicon carbide, but for many other parts of that solution that we bring that we're finding great success in.
Eric Bjornholt: The second piece of your question was on CapEx, and it was maintenance versus expansion. And I would say the majority of our capital is going to be expansion. There's always some maintenance. You can look at some down years that we've seen or the industry has seen in the past, and our CapEx is relatively minimal. It might be $60 million, $70 million, $75 million, but we're also running our factories very hard now. And with that, there is a required maintenance that has to happen. So I don't have a specific percentage for you, but the largest portion of it will be expansion capital.
Operator: Our next question will come from Nik Todorov with Longbow Research.
Nik Todorov: Yes, thanks for squeezing me in. And congrats on great results. I wanted to go back on the question about lagging edge capacity. Steve, I think your comments are very illuminating and explaining one of the reasons why lagging edge capacity is not as much as probably historically. But I just wonder why do you think is going to remain constrained, given the fact that you and other peers are seeing substantial amount of unsupported backlog, tons of orders into visibility and for years ahead. So it seems like there's definitely demand out there. And also profitability for you and peers that are operating in that lagging edge capacity is an all-time high. So can you talk maybe 1 of the other factors why is lagging edge investments or lagging edge investments not going up?
Ganesh Moorthy: So when you talk to the foundry companies, their opportunity cost of investing in trailing edge is high as compared to making that same investment in leading edge. And so they have finite resources, finite bandwidth, and they need to decide where to put it. And right now, what we see and what they tell us is, that is going in the way that they are investing their CapEx, which is mostly at the leading edge of where they're at. There is also not always sufficient understanding of how trailing edge is a critical part of certain markets, particularly for certain product types, where the benefits of going to leading edge are very small to sometimes it's a negative to go take it, the leading edge in terms of cost and performance, et cetera. So that understanding is among a smaller set of companies. And typically, they will be the ones that are closer to their own manufacturing and understand what it takes. And so we just don't see a broad-based capacity investment by external foundries in trailing edge capacity given both their knowledge of the market, but also their priority in a constrained environment for their people their CapEx and their bandwidth.
Operator: We'll take a question from Craig Ellis with B. Riley Securities.
Craig Ellis: Yes, thanks for taking the question. Congratulations on the real strong margins, team. I just wanted to follow up on that last point and a few of the capacity-related points. But my question is really around external supply. Can you just talk about some of the gives and takes very recently with external supply? And given the commentary around foundries not investing as intensively, help us understand how the company feels about the external supplies contribution to the 10% to 15% longer-term growth rate? Do you feel like that, with your partners, you've got commitments to supply that can get you to that 10% to 15%? Or what will that part of supply do, if you can't get the supply that you need?
Ganesh Moorthy: Yes. So we have every confidence that the capacity that we need to support our growth, through a combination of internal and external actions, will be there. And we will continue to work with existing partners. In some cases, we will work with new partners. We will, in many cases, partner in new and unique ways where we need to, to ensure that the capacity is there. And we are doing quite a bit on our internal capacity, right? That's where the whole the CapEx that we have talked about is also aimed at in order to be -- to ensure that high-growth high-margin, long-term business can continue to be done internally where we can do it cost effectively.
Operator: And we have no further questions queued at this time. So I'll turn things back over to Ganesh Moorthy for any additional or closing remarks.
Ganesh Moorthy: Great. Well, thank you, everyone, for joining us this afternoon. We look forward to seeing many of you on the circuit over the next couple of months, as we're out of different conferences. Thank you. Bye-bye.
Operator: And that does conclude today's conference call. Once again, thanks, everyone, for joining us. You may now disconnect.